Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Metabolix first quarter 2010 earnings conference call. Today's call is being recorded. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to Ms. Laurie Chute. Please go ahead, ma'am.
Laurie Chute: Thank you and good afternoon, everybody. Metabolix released first quarter 2010 financial results after the market closed today. If you do not have a copy of the press release, one may be found on the website at www.metabolix.com in the Investor Relations section. Making the presentation today will be Richard Eno, President and Chief Executive Officer of Metabolix; and Joseph Hill, Chief Financial Officer of the company. They are joined by Oliver Peoples, a co-founder of Metabolix and Chief Scientific Officer. Before we begin our formal remarks, I need to remind everybody that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance and therefore, undue reliance should not be put upon them. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. We refer all of you to our recent filings with the SEC for a more detailed discussion of the risks that could impact our future operating results and financial condition. With that, I would like to turn the call over to Rick Eno, President and CEO of Metabolix. Rick?
Richard Eno: Thank you, Laurie. I'd like to welcome all of you to the first quarter 2010 earnings conference call for Metabolix. Today, I'll provide you with a review of the Metabolix vision and a broad update of our ongoing activities. Joe will then take you through the financials. We continued to make good progress on our commercialization and development activities and have maintained a strong financial position. For those of you new to these calls, Metabolix is an innovation-driven bioscience company, which is focused on bring environmentally-friendly solutions to the plastics, chemicals, and energy industries. We are developing and commercializing pathways and products that are intended to lessen the world's dependence on oil, reduce CO2 emissions relative to traditional materials, and address critical solid waste issues. We are founded on hard science and have exceptional capabilities and plant science in fermentation, microbial, and polymer engineering and in product and market development. We currently have three business platforms. First, Mirel, a bio-based biodegradable plastic currently being commercialized with our partner Archer Daniels Midland through a joint venture called Telles. Secondly, Industrial Chemicals, initially focused on C4 chemicals. And third, crop-based activities, which include our programs in switchgrass, oilseeds, and sugarcane. I'd like to begin with the Telles business, our joint venture for commercializing Mirel. We have made steady progress since our last call. I'll provide an update on the Clinton plant, the food contact notification process with the FDA, and a broad description of our expectations for the coming year. The Clinton, Iowa plant is the production source for Mirel, our first commercial product. As described in our previous call, the initial phase of the plant has been commissioned and is in operation. Initial product has been evaluated by the Telles technical team, deemed successful, and has been shipped to customers and prospects. Based on analytical testing, the product appears indistinguishable from that produced in our pilot facility. This is encouraging in that it illustrates to us continued success in the scale-up of the technology and bodes well for the implementation of next-generation technology. Over the next year, the ADM Clinton team, with support from Metabolix, will continue to improve and optimize the operational efficiencies at the facility. There are also several technology enhancements, which are currently in late-stage development including next-generation microbial strains and recovery technologies. We will now move to aggressively implement these enhancements at the Clinton plant to reduce operating costs, improve capital efficiency, and extend the market potential for Mirel. We are currently maintaining our guidance for the capital cost for the Clinton plant as north of $300 million. It is important to think of this capital investment in the context of growing the Mirel business including a potential future expansion of the plant. Consistent with most process facilities of this type, we currently estimate that about two-thirds of the Clinton 1 capital investment will be in the actual processing equipment; in our case, fermentation and recovery; and about one-third of the capital investment will be in supporting infrastructure and utilities including electrical and cooling water services, control rooms, maintenance facilities, and basic site development. As we've mentioned before, Clinton was selected and laid out with the vision of a 4X expansion. As such, a good portion of the supporting infrastructure investment to support future expansion is being made with Clinton 1. We expect that the economics of expansion beyond 110 million pounds per year will reap substantial benefits from this Clinton infrastructure. We should also benefit from a more normal environment for the cost of construction materials and labor than what was experienced while ADM was proceeding with the construction of the majority of the plant in 2007 and 2008, as well as the application of the next-generation technology that I mentioned to enhance capital efficiency. I'd now like to provide an update on the FDA process for food contact. The FDA process for food contact requires the submittal of a dossier, known as a food contact notification or FCN, which is made up of the results of a number of extraction studies conducted under specific guidelines, as well as a thorough review of a range of polymer characteristics. In addition, there are usually formal requests for additional or clarifying information. Once the clarifying information is submitted, the FDA has up to 120 days to reject the FCN or it will become active. Consistent with the timing described in our last call, we are planning to bring injection-molding products to food contact markets in Q2. This will enable us to sell into applications such as cutlery and injection-molded food storage containers. We expect to bring thermoforming and film products to food contact markets in the second half of this year. This will enable us to service applications such as coffee lids and yoghurt cups, and film for using storage bags. We expect to submit additional notifications to the FDA as new Mirel grades are developed and the technology continues to advance. Keep in mind, as stated in previous calls, that our entry strategy for Clinton is not designed around food contact applications and does not depend on it as we do not have control over many factors that impact the overall timing of the FDA process. With regards to our market development activities, there have been no major changes since our last call. Mirel is a superb product offering superior biodegradability, bio-based sourcing, and performance levels exceeding other available bioplastics. Our market development activities remain focused on fixed specific segments with a combination of Mirel's properties result in a particularly compelling and unique offering. As a reminder, these segments are packaging, compostable bags, consumer products focused on cosmetics, gifts cards and other products you would commonly find on the retail shelves, business equipment, agriculture and horticulture, and marine and aquatic applications. We believe that these six segments represent over 2 billion pounds of initial addressable annual demand. Now, with the Clinton plant in production, we will be able to move forward with commercialization of our pipeline, focusing on the ramp-up of sales and driving towards a plant expansion. This will be the result of choosing the right customers and converting this demand into sales contracts, and our ability to manage a development time for new applications, which is typically nine to 15 months. We will be gaining a few quarters of operating and market experience with Mirel at world scale and then regularly provide guidance to you on the plant sales ramp-up and expansion prospects. In the terms of product pricing, we are maintaining our $2.25 to $2.75 per pound average selling price guidance. All of our major contracts flow within this range. Some specialty grades, serving niche applications will sell at significantly higher prices. Fundamentally, Mirel's unique combination of biodegradability, bio-based sourcing, and performance properties allows premium pricing relative to most petroleum-based plastics. In our targeted consumer applications, the cost of the plastic is small relative to the value that it brings to the brand. In our targeted industrial applications, the economics of a bio-based biodegradable plastic adds value to that created by incumbent plastic. In both consumer and industrial applications, Mirel enables the creation of products and product lines that were not possible with legacy products. Mirel is a premium product. Looking forward, you should think about 2010 as a transition year as the Telles business goes commercial and 2011 as a year when a significant number of customer efforts will materialize as new contracts. We are viewing objectives from our last call. Over the course of 2010, we plan to do the following. Validate with ADM the Clinton manufacturing technology upscale and begin the process of continuous improvement. This will take the form of improving day-to-day operating efficiencies and the implementation of new technology that will improve operating costs, capital efficiency, and extend the market application pattern for Mirel. Advance the developmental cycle for a large number of potential customers that we have maintained in our pipeline for the last three years and start to satisfy the strong market demand for Mirel. Continue to pursue the FDA food contact process with optimism that we will be selling into a range of food contact markets this year. And with our experiences in both technology assessment and the market, we will be developing with ADM a view on a Clinton expansion program including the final build-out to the initial design capacity and on to the full-site potential. It will be an exciting year for Telles and the Mirel brand and we look forward to keeping you up-to-date on our progress. Let me now move on to the other Metabolix platforms. These are Industrial Chemicals and crop programs. These represent meaningful value creation opportunities for us beyond the Telles venture. In C4 chemicals – in Industrial Chemicals, we continued our work on optimizing the fermentation process and have made significant strides in the development of a very efficient recovery process. As outlined in our earlier calls, our initial focus is on the C4 specialty market including the pyrrolidones and we continue exploratory partner discussions. We are currently broadening our developmental work outside of this initial opportunity as we flush out our Industrial Chemicals platform to include C3 and C5 alternatives to other chemical families. Our third Metabolix platform is our crop-based activity including our programs in oilseeds, switchgrass, and sugarcane. All in all, we are excited about the platform as we can see pathways we are developing ultimately replacing the capital-intensive operations such as oil and gas exploration and production, refining, olefins, and polymerization by producing polymer directly in crops. Our crop programs offer numerous options to produce low-cost chemicals, plastics, and fuels in a very sustainable manner. About a year-and-a-half ago, we communicated proof-of-concept by producing up to 3.7% PHA in the leaf tissue of switchgrass. We have now made further progress and have reached 6% PHA in switchgrass leaf tissue. We are excited about deeper understanding of our targeted crops, as well as the continuous enhancement of PHA levels. We have also made gains in PHA production levels in sugarcane and oilseeds targets. In addition, we continue to identify and develop alternative recovery technologies to allow our crop-based technologies to address a range of both polymer and chemicals markets. In terms of overall timing for commercialization of our crop programs, we are comfortable with our previous estimates of having commercially viable crops in field trials within two years. We are pleased with our technical progress on our crop programs and we will communicate additional milestones to you when reached. In summary, we continued to make excellent progress this quarter against our milestones. The startup of the Clinton facility initiates the next phase of the Metabolix growth story and we look forward to providing regular updates of our progress to you. The game-changing nature of our crop programs continue to make steady progress towards fruition. We are very enthused about the potential for the company. I'll now turn the call over to Joe for a review of our financial results for this quarter.
Joseph Hill: Thanks, Rick and thank you all for joining us today. As Rick mentioned, we are very excited about the continued progress on our commercialization and development activities. We are particularly pleased to be in a position to announce today that we began making commercial shipments of Mirel produced in the Clinton manufacturing facility to customers this past quarter. This is obviously a significant initial milestone in the transition of our company into a successful commercial business. Now, while it is exciting to know that Mirel is moving forward, we are also pleased with the developmental progress of our crop and Industrial Chemicals platforms this past quarter. Our successful efforts in both areas, we believe, will enable us to develop new businesses, attract additional partners, and to significantly diversify our customer and product mix. This diversification will be an important part of our long-term strategy to grow our business to the generation of substantial revenue and earnings from diverse technology platforms. I'll now focus on the financial results for our first fiscal quarter ended March 31st, 2010. As always, we manage our finances with an emphasis on strict cash flow management. We continue to maintain this focus and ended the first quarter with $82.8 million in cash. For the first quarter, net cash used in operating activities was $9.4 million, which represents a planned increase in cash usage from $5.9 million used during the first quarter of 2009 and is an increase over the $8.6 million used during the comparable period of 2009. While our cash operating expenses remained relatively flat quarter-over-quarter, the $3.5 million increase in net cash usage in the first quarter of 2010 compared to the first quarter of 2009 was mainly attributable to the timing of accrued annual performance bonus payments made to our executives and other employees, which is made during February of each year and a decrease in cash proceeds as a result of lower pre-commercial cost-sharing payments we received from ADM. The $800,000 increase in cash usage in the first quarter of 2010 from the first quarter of last year is mostly attributable to the increased operational needs of the business and a decrease in cash received from investment income, driven by lower market yields. I will now give some additional detail on the company's financial results for the first quarter of 2010 ended March 31st. Total revenue was $180,000 for these three months ended March 31, 2010 versus $261,000 for the three months ended March 31st, 2009. Revenue in both quarterly periods resulted from revenue recognized from our delivery of Mirel sample products, license fees, and royalties. The decrease in quarterly revenue versus the prior year was primarily the result of a decrease in government grant revenue earned from our completed Integrated Bio-Engineered Chemicals grant. As in previous quarters, the first quarter loss was greater than the cash used in operating activities as a result of non-cash expenses including depreciation and stock-based compensation expense. Operating expenses were relatively flat year-over-year. Total operating expenses in the first quarter of 2010 were $10 million, an increase of $300,000 or 3% from the comparable quarter in 2009. Research and development expenses were $6.2 million during the three months ended March 31, 2010 versus $6 million during the three months ended March 31, 2009. Selling, general, and administrative expenses were $3.9 million during the first quarter of 2010 versus $3.7 million versus the first quarter of last year. Net loss for the first quarter of 2010 was $9.8 million or $0.37 per share as compared to a net loss of $9.1 million or $0.40 per share for the first quarter of 2009. Now on to the balance sheet. Our balance sheet remained strong. As of March 31st, 2010, we had cash and short-term investments of $82.8 million. This compares to $92.2 million as of December 31st, 2009. We continue to have no debt and we believe that we have adequate capital to grow our business over the next two years including expansion of our sales and marketing infrastructure and continued research and development in support of our various technology platforms. We continue to work with a roster of successful companies that are partnering with to create alternative solutions and change the way they bring their products to the marketplace. We are pleased with the progress we've made during the first quarter 2010. And with that, we will open the call for questions.
Operator: (Operator Instructions) And we will pause for just a moment. We'll take our first question from Laurence Alexander with Jefferies.
Laurence Alexander – Jefferies: Good afternoon.
Richard Eno: Hi, Laurence.
Laurence Alexander – Jefferies: Hi, I guess, first of all, just wanted to ask about – I mean, if you could give a little bit more of a view on what hurdles you still need to hit for this C4 and – C4 opportunities and also moving into home applications.
Richard Eno: On C4, Laurence, it's – I would think about it very much around the scale-up of fermentation-based processes, which would included improving and continuing to work up the yield levels, the efficiency of the fermentation, as well as beginning to scale up recovery processes. So technically, those are the major tasks in front of us and they are ongoing as we described in the call. And then from a commercialization perspective of that technology, we are looking at both intermediate and long-term options for how the products get to market and intermediate could be too via combination of total operations and semi-works operations and longer-term commercial facilities. And we are looking at different partner types in terms of how we enable that and looking to create the most value on that technology to Metabolix. So I'd look at it from a technical advancement, as well as a commercialization strategy perspective as well.
Laurence Alexander – Jefferies: And if – go ahead.
Richard Eno: It's okay, continue.
Laurence Alexander – Jefferies: No, go ahead.
Richard Eno: Oh, I guess you had any further questions in C4, so you asked about foam also, right?
Laurence Alexander – Jefferies: Yes, exactly. Yes.
Richard Eno: Okay, yes. Foam is one of the other applications which we are developing as part of Telles and looking at extending Mirel into foam applications and that currently is in the scale-up mode and by – in product development in polymers, you increasingly go to larger and larger scale to prove out the polymer on equipment that more and more is like commercial scale equipment and each step along the way, there are usually some things one has to do to optimize and that's the process we are in. We are pleased with our progress, I haven't put a time frame on when we will have foam in the market, but we continue to move that ahead, working with some very capable partners to help us identify the way we can most rapidly scale that up. And with the Clinton resin now available I'm expecting that work with accelerate.
Laurence Alexander – Jefferies: And then I guess a question for Olly. As you think about the progress you've made with the switchgrass platform, is it getting easier to get incremental yield enhancements or is it getting more difficult? I'm thinking – also, if you could compare working on a switchgrass platform to the difficulty of working on the seed platform – I mean, the oilseed platform.
Oliver Peoples: Yes, so I would say the – eventually, a lot of the work at the switchgrass platform was really developing faster and better tools for doing the engineering work. So I would say that at this point in time, I think we are making a bit faster rate of progress than we did in the past, but that's because we invested the time to develop both the tools and also some additional modeling capabilities. So we are pleased with that. In terms of the difference between switchgrass and oilseeds, the real difference is the cycle time for doing the engineering work and one is essentially about three to four months and the other one is about a year. So obviously, one can do more experiments in the oilseed than in kind of switchgrass, but I would say was very nice about a little thing is the cross-species learning that we are getting from both systems is actually accelerating both.
Richard Eno: And I would to that, Laurence that we've been working in the same crop families for a couple of years now and the team is getting very, very familiar with and deeply understand now the characteristics of those crops, which is helping to accelerate progress as well.
Laurence Alexander – Jefferies: And then a question on, I guess, IP protection or barriers to entry. There is a couple of Chinese companies claiming to be bringing on stream PHA production capacity over the next couple of years. I mean, even serve as large as 10,000 tons per year. Do you – can you address sort of at what point – first of all, do you think they are using similar processes or are they going to be at a disadvantage on the cost curve? And secondly, how you – at what point we shift from being about the IP to being process knowhow that you've developed over the last few years?
Oliver Peoples: Yes. So we've actually been aware of that. Essentially, as this goes forward, all other folks are going to try to get into this. I think we clearly have the technology advantage in the manufacturing side and we continue to, as indicated by Rick, make good progress on continuous (inaudible) improvements in that technology. But there is a big difference between making a PHA polymer and making a high-speed injection injection-molding PHA work. And over the last three years, Metabolix having learned from the example of the NatureWorks folks where once DuPont went live, essentially – there was essentially a huge upsurge in intellectual property filings. Over the last two or three years, Metabolix has been very aggressively optimizing formulations and patenting globally with the intent to make it as challenging as possible for others to enter the market at any kind of competitive basis.
Laurence Alexander – Jefferies: And then just two quick technical questions. The sales number, I believe it’s mostly sales of Mirel for customer experimental work. So can we read that as translating to rough somewhere on the order of about 100,000 pounds being shipped this quarter?
Joseph Hill: We have not made any direct link as to how many pounds it is that we are shipping and what the price of that is and we just aren’t disclosing quantities of products being shipped, whether it's to prospects or customers.
Laurence Alexander – Jefferies: But in the past, average selling price even on the pre-work samples was going to be in line with the longer-term price. Is that still the case?
Joseph Hill: Yes, yes.
Laurence Alexander – Jefferies: Okay. And secondly, do you have the ledger balance handy by any chance?
Joseph Hill: Yes, the ledger balance is $372 million.
Laurence Alexander – Jefferies: Okay, thank you. Thanks.
Joseph Hill: Thanks, Laurence.
Operator: We'll take our next question from Alex Potter with Piper Jaffray.
Alex Potter – Piper Jaffray: Hi, guys.
Richard Eno: Hi, how are you doing?
Alex Potter – Piper Jaffray: Pretty good. Just to follow up here on that ledger balance, how long do you expect the ledger balance to continue, I guess, accruing?
Joseph Hill: So if we look at what the components of the ledger balance is, is that it's three things. It is the initial support payments that ADM has made to us that stopped in middle of 2009 – July 2009. It is the cost of the construction of the manufacturing facility and then it will be any working capital needs that the Telles joint venture requires as it's getting up to full capacity. So Rick had mentioned that the initial phase of the construction is complete. There will be some expansion of that. And then there will be some working capital needs of the Telles joint venture. We have, not at this point, given an indication as to when we believe that that – how much that funding will be or when it's going to flip over to profitability.
Alex Potter – Piper Jaffray: Okay. So it's – essentially, it's – it accrues based on the working capital that's needed up until the point when you are at full capacity?
Joseph Hill: No, it will accrue up to the point where Telles is selling at a breakeven volume.
Alex Potter – Piper Jaffray: Okay.
Joseph Hill: Which will be significantly less than the full capacity.
Alex Potter – Piper Jaffray: Okay. And just I guess on a related question, capacity related question and I know that – I can appreciate the fact that this might be somewhat difficult at this stage to give real clear guidance on, but when you say in the release that you are going to be running at relatively low capacity for the next several quarters, is it possible, I guess, to get a little bit more granularity on what sort of capacity utilization and for how many quarters and how quickly you think it will ramp?
Joseph Hill: That's a good question. As we talked – let me just start with the – the production capacity of the facility is being provided to match our market demand. And as Rick had talked about and as we've been saying for a number of quarters, that getting our customers to a sales cycle to signing a contract has been a factor of being able to get them enough test products. And that typical sales cycle from the time the customer is coming towards with a concept to when they will be able to test the products to be able to sign a contract is nine to 15 months. That's about the most guidance we've given as to how long it will take in order for that to occur. We have – we are really not giving anymore guidance than that.
Alex Potter – Piper Jaffray: Okay, fair enough. And I was wondering also if you could comment on the cash burn in the quarter. Looks a bit higher than it had historically been.
Joseph Hill: Yes, so in Q1 of every year – remember, our bonuses, the significant piece of it is bonuses. The bonuses accrue throughout the year and get paid in the first quarter of the following year.
Alex Potter – Piper Jaffray: Okay. So you would expect a downtick then?
Joseph Hill: Yes.
Alex Potter – Piper Jaffray: Okay. All right. And then the – I guess the last question relates to potentially expanding our capacity, as you mentioned. Obviously, the Clinton facility was designed with eventual expansion in mind. I guess, if you could just provide a little bit of clarity on what it would take, I guess, for ADM and Metabolix to come to a conclusion that "Yes, now is the time to move forward with an expansion," and if you have any, I guess, guidance on when that might occur?
Richard Eno: Yes, I think – that's another good question. As we reviewed the objectives for Telles for this year, one of our objectives with ADM is to take a real good look at the technology and a real good look at the market now that we have commercial product in the market to examine what the potential for the product is. So when you start thinking about an investment decision to expand the plant, the first is really the market. And as Joe described, we've got a nine to 15 months development cycle for most of our customers. And our commercial team will be tracking customer development very, very carefully. And typically the way that works is you get a customer on board and their initial volume is at one level, but they have a fairly good sense to predict out, "Okay, we are going to introduce the new product, say, in the United States, we are going to move that to Europe and we are going to move that to South America," and that results in a multiyear customer-by-customer forecast, which we can identify. And the aggregation of that when we put some form of discounting, because things don't always work out according to plan against that can start to give us a pretty good view of the longer-term for our chosen customer portfolio around what we think the potential will be that the selling prices we are at. So that's the market side of equation. The other thing we will be looking at very closely and it's already beginning is to look carefully at how this technology performs at scale and try to understand and analyze what is the capital requirements of expanding the plant beyond the 110 million pound per year level. Our objective is to do that – and ADM's is as well I should say, at as minimal capital as possible. So we are going to look for next-generation microbial strains, we are looking at alternative recovery technologies that we can get as much out of that plant as we can and hopefully much more than 110 million pounds a year.
Alex Potter – Piper Jaffray: Sure.
Richard Eno: Those two factors together get run through your classic economic analysis to determine when the economics of an expansion and the duration of the lead time required gets us to the point of when we would have to make that decision. But in summary, our objective is to have a good run through all those factors this year in 2010 and continue to monitor it with ADM to ensure that we are making an investment decision at just the right time so we can may – so we meet our customer needs. So those are components and a lot of that work will occur in 2010 and we will see where the analysis takes us.
Alex Potter – Piper Jaffray: Okay. Very much appreciate it, thanks a lot.
Richard Eno: Thank you.
Operator: Our next question comes from JinMing Liu with Ardour Capital.
JinMing Liu – Ardour Capital: Thanks for taking my questions.
Richard Eno: Hi, JinMing.
JinMing Liu – Ardour Capital: One thing I have to clear out about ledger pattern. You just mentioned that balance is $372 million? Is that right?
Joseph Hill: Yes.
JinMing Liu – Ardour Capital: And I remember last – during last conference call, you mentioned or in your 10-K that number was more than $380 million. Am I right?
Joseph Hill: Yes, you are correct. That's what is in – where the reduction of the ledger balance came from was that previously at end of the year was some internal interest charges that ADM had passed over in part of the ledger balance reporting. And we would – we have eliminated any of the internal interest charges that were passed over. So the comparable number, if you are excluding any internal interest charges, would have been $370 million for Q4 '09.
JinMing Liu – Ardour Capital: Okay, got that. Both calculation somehow passed by auditor?
Joseph Hill: It's not – this isn't a GAAP reported number, it's not part of our financial report, our audited financial statements.
JinMing Liu – Ardour Capital: Okay, all right. Let's talk the – your Clinton facility. Rick, you mentioned before that facility is based on modular design and you have brought module by module. So can you disclose to us what percentage of capacity so far you have tested and basically started out and introduction? Whether you have the rest of the incremental start or you have – those things have to be installed in the future?
Richard Eno: We can't, JinMing, give you a precise percentage. What we can say is that all the necessary processing equipment has been run and tested in order to produce product that meets specification and allow us to get the product into the market. And we've not disclosed – and you are right to point out that what we are doing is making sure the capacity of the plant stays well ahead of the market demand, which we are working regularly with ADM to do so in the vast majority of all the capital equipment there, because it's – the implementation of any remaining equipment is relatively minor compared to what has gone on at the site over the last three years. But we are not putting any specific percentages there. We are just ensuring that the capacity is there to meet up with the demand for the product and because of the developmental cycle of a nine to 15 month period, we can get a pretty line of sight on – once we get some experience with the product in the market of when that incremental work will have to take place. But we are not putting any specific numbers on it.
JinMing Liu – Ardour Capital: Okay. Can you give me just a ballpark number, 10% or 20% capacity you have tested and introduction or – ?
Richard Eno: No. The – I think the point being that – we would say the technology has been scaled up successfully, we have product going out to meet customer requirements and we are real pleased with how well it's performed.
JinMing Liu – Ardour Capital: Okay. How many employees do we have at the Clinton facility?
Richard Eno: You'd have to ask ADM, that's their site.
JinMing Liu – Ardour Capital: Oh, so – Telles, that's a joint venture. You have any idea of how many employees your joint venture hired so far?
Richard Eno: Well, our joint venture is a marketing joint venture. ADM owns the plant and the plant is supplying product to the joint venture.
JinMing Liu – Ardour Capital: Oh, I see. So it’s up to ADM to hire all – whatever numbers – employees they want to have, right?
Richard Eno: In the plant. In the plant, that's right. They are responsible for the manufacturing and operation of the site and they hire the people as needed to run the site.
JinMing Liu – Ardour Capital: You know how many ADM hires?
Richard Eno: I think you should ask ADM, it's their number.
JinMing Liu – Ardour Capital: Okay, okay. From your other contracts you have with your customers, is there a covenant preventing them to use other people's PHA or they have to use your PHA?
Richard Eno: We don't think so. I mean, there is a wide range of different customers, but – in contracts, but not to the best of our knowledge, JinMing.
JinMing Liu – Ardour Capital: Okay. So Paper Mate, they have their ball pen marketing full well [ph] they might have switched to a supplier.
Richard Eno: We don't disclose the details. We don't disclose the details by contract, but the majority of contracts we have, that's not generally as issue.
JinMing Liu – Ardour Capital: Okay, okay. Let's have a few follow-up questions related to that – the Chinese company like Laurence just mentioned. We've seen some research and they talk to our people locally about that company. Can we compare a note on that?
Richard Eno: What company and – ?
JinMing Liu – Ardour Capital: The Chinese company has a 22 million pounds capacity and in commercial production right now. So that 22 million (inaudible) capacity is the number you have, right?
Richard Eno: I don't have a way to verify that. We've heard that number, but we don't have verification of it.
JinMing Liu – Ardour Capital: What's the capital cost, do you know from that facility?
Richard Eno: No, we don't know, JinMing.
JinMing Liu – Ardour Capital: I have that number for you, it's $30 million. So based on my calculation, that type of cost per unit capacity is roughly a third of what you have been – you and ADM spent so far. And they – do you know what type of different plastic resin – bioplastic resin they have developed?
Richard Eno: I mean, we know there is PHA resins, we don't know specifically that and not completely in tune on exactly which market segments they are going after.
JinMing Liu – Ardour Capital: I think they develop resins for films, sheets, and foam.
Richard Eno: Okay. So – yes?
JinMing Liu – Ardour Capital: My problem there is based on that cost structure of that facility and by the way, their expense, I believe (inaudible) to build that facility up. Based on that, why should any other investor not invest in that company, but your company for any potential expansion?
Richard Eno: JinMing, I don't think we can really answer those questions fairly. Well, have you not analyzed that? We've not tested the quality of the product, the repeatability of the product. I mean, obviously – I mean, it's interesting competitive intelligence, but we really honestly have not done – we cannot comment on competitors' cost structures and we have not validated the numbers you said.
JinMing Liu – Ardour Capital: Having asked you production cost structure and that type of cost and the (inaudible) and what type of resin they have – and last question related to that facility, do you know when they started the commercial production?
Richard Eno: Not precisely. We've seen indications of product in the market occasionally, but don't have the specific data when they started production. We are pretty much focused on getting our plant running and up to full scale.
JinMing Liu – Ardour Capital: Well, (inaudible) compared to all there, I believe they started a startup process in last November and entered commercial production either late last year or January this year.
Richard Eno: Okay.
JinMing Liu – Ardour Capital: Okay. And the – so –
Richard Eno: JinMing, what's the name of this company?
JinMing Liu – Ardour Capital: You don't know the name?
Richard Eno: I'm asking you. You seem to know everything. So what's the name of the company?
JinMing Liu – Ardour Capital: It's called the Tianjin GreenBio Materials.
Richard Eno: Tianjin?
JinMing Liu – Ardour Capital: Yes. We can take that discussion offline.
Richard Eno: Okay.
JinMing Liu – Ardour Capital: Just to ask you another question related to the demand. What was the – what is the number you have about global bioplastic market size last year?
Richard Eno: We don't have that number handy.
JinMing Liu – Ardour Capital: Okay. I think that's about 500 million pounds.
Richard Eno: Well, JinMing, I think there are a number of other people on the line. If this helps, I'll be happy to take the question, but if we want to compare notes and markets and competitors, it may be best done separately, because we are more interested in providing people an update with how we are doing here at Metabolix.
Operator: And with that, we'll move on to our next question from Ian Horowitz with Rafferty Capital Markets.
Ian Horowitz – Rafferty Capital Markets: Hi, guys.
Richard Eno: Hi, Ian. How are you?
Ian Horowitz – Rafferty Capital Markets: Good. I think a couple of questions. So the grant revenue went down to zero this quarter and I'm just trying to make sure that I have this right. This wasn't because of the – you got an early payment, I think, in the last quarter, the December quarter. Is that –
Richard Eno: No, we haven't – we – no, this just had to do more with the conclusion of grants. That didn't have to do – we haven't received any accelerated grant revenue or early payments for grant revenue.
Ian Horowitz – Rafferty Capital Markets: Okay. So we should kind of model going forward, at this point, zero on the grant revenue line, is that correct?
Richard Eno: I think for 2010, it maybe. But I think if you are modeling going forward, you should assume some grant revenue.
Ian Horowitz – Rafferty Capital Markets: No, no, fair enough. I just – yes, going past – I just meant for the remainder of the year. So far there is nothing kind on the schedule right now.
Richard Eno: Yes, I think what's left and what we disclosed is there is about $300,000 left for us to recognize as grant revenue. Primarily, the USDA blow molding grant.
Joseph Hill: Right.
Ian Horowitz – Rafferty Capital Markets: And that will occur throughout the remaining three quarters or – ?
Joseph Hill: Yes.
Richard Eno: Yes.
Ian Horowitz – Rafferty Capital Markets: Evenly paced, okay.
Joseph Hill: Yes, that's safe enough. It's not – $300,000, I don't think, is going to have much impact in your model.
Ian Horowitz – Rafferty Capital Markets: No, no, I understand. Just – like I said, just trying to get through some mechanics. And then when – I think we had in our model some royalty recognition from selling out of the Clinton facility or moving product out of the Clinton facility, when – and obviously we were wrong on that, when – at what point do we move into that process or you guys will start to see that royalty recognition coming through?
Joseph Hill: So as we've discussed that, when we get to the commercialization phase of the agreement, which we have said will be sometime in the second half of this year, is when we start recognizing our $0.10 or so – $0.10 per pound royalty.
Ian Horowitz – Rafferty Capital Markets: Okay, okay. And then you talked about the timeline on the customer being nine to 15 months to get it to commercial. Can you just remind us what you think it would take in terms of the timeline between when you and ADM would make the decision to move into an expansion before we could actually see that up and running? I know the first chain isn’t really a very good proxy for new construction, but just an – just an idea, do they match up fairly closely or?
Richard Eno: Yes, I think, Ian a good – a little – one of the variables there is determining the impact of the drop in technology we are working on. I mean, if we are able to, with ADM, get the new next-generation strains and alternative recovery technology in place, the lead time is a bit less. It requires a more substantial capital build-out, it's a bit long – longer. Typically, a couple of years once we make the decision to go should be about right, but it will vary depending on the precise configuration on what has to be done to increase the capacity of the plant.
Ian Horowitz – Rafferty Capital Markets: Okay. So it's not a direct (inaudible). So I mean, if you – if the demand for product really starts to ramp quickly, conceptually there is a point where you will be short capacity. Is that correct?
Richard Eno: It is – you are right, it is possible and that if you assume a two-year construction time versus a nine-to-15 month customer development time, in theory, yes, there could be a rapid ramp-up so that we may not be able with ADM to have capacity in place to meet that, but just rest assured, we are watching that very closely and we are looking carefully at that to minimize the chance of that occurring.
Ian Horowitz – Rafferty Capital Markets: Okay. Okay, great. Thanks. I'll get back.
Richard Eno: Okay, thank you.
Operator: And we'll have a question from Jeff Osborne with Thomas Weisel Partners.
Jeff Osborne – Thomas Weisel Partners: Hi, great. I just had a question on the commercialization in the second half. Joe, how much of the $10 million in OpEx would be shifted over to the JV from your books when that happens? I'm just trying to get a sense of what the exposure is there.
Joseph Hill: Right. So what we've been saying and hasn't changed is there is about $5 million per quarter of sales and marketing and product development that Metabolix is bearing for Telles today. So that will shift over to the Telles joint venture and will no longer be a cash burn for Metabolix. But as we've also been saying, it's probably not safe to reduce the operating expense from $10 million to $5 million, because we will be investing some more in our other platforms, not as much as we are going to be reducing. So there will be reduction, but it won't be as great as $5 million.
Jeff Osborne – Thomas Weisel Partners: Got you. And so I understand the commercialization phase would be hit during – how do we think about first half of 2011 in terms of the ledger balance continuing to grow and auditors will be – I understand you gave the three drivers of what contributes to ledger balance, but – I mean, with the working capital and for full capacity, you haven't really defined that. So is there any way to put like an upper bound on where that could go in the – you said it would be $500 million?
Joseph Hill: We haven't put an upper bound on that. We've maintained our guidance that it's north of $300 million. And I think, as Rick was saying, we really want to get some operating experience under our belt, get the plant going, get shipments to the customers and then later this year, we will be giving some more metrics. That will probably be easier for you to predict where that ledger balance is going.
Richard Eno: Yes, there is a lot going on right now, Jeff, in parallel. I mean, we are starting to meet the pent-up demand for lots of customers that we have had in the queue for a while. We are working very hard with ADM to continue to optimize and move this technology rapidly down the learning curve. So all of that will really have a huge influence in the breakeven time and the effect to the ledger balance. So we are just asking for a few quarters to get that work done and we are working hard to make that happen.
Jeff Osborne – Thomas Weisel Partners: I understand. And just one last quick one. So from an investor standpoint, it's a bit tough, you've got the nine-to-15 month sales cycle time, but they – I think, first and foremost, I and probably many others want to get comfort that your cost of production is under control. So how do you expect investors over the next six months while you are in this transition phase as you called it to get comfort that obviously there is demand for the product, but also that you are having a reasonable ramp and – built in for cost. Is there any way to get more comfort with that without giving quantitative evidence, but more qualitative?
Joseph Hill: That's – it's a good question. We understand that this is not a new request. We do know the people, especially investors are looking for visibility as to the operating efficiency of the facility. Now, we do remember the manufacturing facility is ADM's facility. There will be information we'll be giving once we have some better operational experience as to what's going on, but we are not giving any guidance at this point any different than we have before as to what the actual costs are being, what the actual production is, and what the cost of that is. If you think from an investor perspective, we are thinking way beyond the next nine months. We are thinking that the value of Mirel and Metabolix is way beyond this Clinton 1 facility. So for modeling something just at Clinton 1, it's not – it's exciting, but nowhere near as exciting as when you layer in expansion and when you look at what the market potential is for this and what we can address and extend into 440 million pounds without additional operational efficiency, it's a very compelling story for investors. So I am sorry that we are not giving you the direct visibility now for understanding what the cost is short term, but I think once we get some experience under our belt, we will be able to give you some more visibility as to at least some of the operating metrics of Telles.
Jeff Osborne – Thomas Weisel Partners: Okay, thanks a lot.
Operator: And we have a question from Pamela Bassett with Cantor Fitzgerald.
Richard Eno: Hi, Pamela.
Pamela Bassett – Cantor Fitzgerald: Hi, thanks for taking my questions. Nice progress.
Richard Eno: Thank you.
Pamela Bassett – Cantor Fitzgerald: And we think about Clinton expansion – can you hear me okay?
Richard Eno: You are breaking up a little bit, but I think we get most of it. So continue.
Pamela Bassett – Cantor Fitzgerald: Is that better?
Richard Eno: Yes.
Pamela Bassett – Cantor Fitzgerald: Okay. When we think about Clinton expansion, there has been a real focus on the last 330 million pounds per year. But should we really think about that as one build-out maybe is staged turning on at the facility, but maybe a much larger build-out plan beyond the 440 million pounds in the near term?
Richard Eno: Yes – I mean, to make sure I understand the – Pamela, to make sure I understand the question, yes, is it the construction strategy to get to 440 million pounds or is it beyond 440 million pounds, your question?
Pamela Bassett – Cantor Fitzgerald: Yes, basically. I mean, is there so much pent-up demand than you are seeding all these customers that could have development plans that expand into a number of markets over a fairly short period of time, maybe three to five years? Would it be reasonable to expect that your staging of expansion is well beyond Clinton 1?
Richard Eno: Yes, I think maybe – it may be a bit premature to think that far ahead. I think our objective this year is to put a good roadmap together to get Clinton towards its full capacity potential. And to be honest, we've not discussed with our ADM the strategy beyond that, although I think it's a shared view that given the economics of scale of having one of the hopefully the largest PHA site in the world and the infrastructure and the rapid adoption of new technology, I think that both the partners use to get Clinton to full potential before we go outside of Clinton. Now, once Clinton, we believe, is at its full economic potential, then I think the question would then arise about what's the next site that we should pursue. And to be honest, that discussion really has not occurred yet. So it would be a little bit premature for me to speculate on where that would be and what it would look like.
Pamela Bassett – Cantor Fitzgerald: And what is the similarities – are there similarities and differences between fermentation, as well as downstream separation for C4 versus PHA? How much is there in common?
Richard Eno: Yes, there is quite a bit in common. There is a long track record the company has of fermentation design, microbe optimization, and scale-up and all of those skills are being brought to bear on our Industrial Chemicals platform. Recovery process is a little bit different for chemicals rather than PHA polymers and as I mentioned, I think it was in Laurence's question, we are working to scale that up and to optimize that. But we – our Industrial Chemicals program is underpinned also by our capabilities in PHA chemistry and everything that the firm has learned over the last couple of decades is being brought to bear in Industrial Chemicals as well.
Pamela Bassett – Cantor Fitzgerald: So there isn’t really a chance here for some sort of a refinery model that' relevant to fermentation where it might be for plants, it's not true for fermentation, is that how we should think about it?
Richard Eno: When you talk about a refinery model, what do you mean by a refinery model?
Pamela Bassett – Cantor Fitzgerald: Well, maybe you might be able to switch a plant on and then direct the sugar stream in such a way so that maybe the fermentation process is the same, but the separation is different or at a certain stage you might be able to switch from one product to another, depending on pricing or other kinds of market conditions or customers conditions.
Richard Eno: Yes, absolutely, Pamela Bassett. That is – that's definitely feasible.
Pamela Bassett – Cantor Fitzgerald: You are sure it is feasible for the fermentation process with respect to both PHA and the C4 chemical?
Richard Eno: Yes.
Pamela Bassett – Cantor Fitzgerald: Maybe I don't understand.
Richard Eno: No, it's exactly what you are saying. If you can – you have a – you can have a common fermentation platform by which you can conceivably produce a range of Industrial Chemicals lined up to either identical or similar recovery technologies that would give you the flexibility to alter production based on market requirements for those specific Industrial Chemicals. Very similar to the existing PHA polymer platform where we can alter production to make different grades depending on what the market requires.
Pamela Bassett – Cantor Fitzgerald: Okay. But that – so that – there is still a separation between PHA and the chemicals, you could only do that on a – those would be separate streams?
Richard Eno: Well, I mean, for some in – the recovery processes would likely be very different, but the fermentation processes are rather similar.
Pamela Bassett – Cantor Fitzgerald: Okay. So they could be part of the same kind of – fermentation –
Richard Eno: Yes, that's right.
Pamela Bassett – Cantor Fitzgerald: – build-out? Okay. Going forward at some point – okay, that's helpful.
Richard Eno: That's right.
Pamela Bassett – Cantor Fitzgerald: And you mentioned field trials in two years. Is that for oilseeds, switchgrass, sugarcane or all of the above?
Richard Eno: We haven't disclosed which ones, we are working on all crop platforms simultaneously, but we have said that we are quite comfortable with getting commercially viable crops in regulatory field trials within two years, but we've not disclosed which ones. We are working on all of them and we are making good progress on each.
Pamela Bassett – Cantor Fitzgerald: Okay, great. And the market potential for the C4 or the C3, C4, C5 chemicals is about what for Metabolix?
Richard Eno: Yes, we've not – we talked about the market potential for C4 chemical.
Pamela Bassett – Cantor Fitzgerald: Okay.
Richard Eno: We have not got to the level of definition and disclosure on the market potential for other exploratory areas we are looking at for C3 and C5 chemicals. So we pointed out about an $800 million addressable market for our specialty C4s and that is the furthest ahead in our Industrial Chemicals portfolio. We've not had the same level of clarity in our disclosure around other chemicals we are working on.
Pamela Bassett – Cantor Fitzgerald: Okay. Are you already starting to get traction and partner interest on your plant programs?
Richard Eno: Yes.
Pamela Bassett – Cantor Fitzgerald: So it might be reasonable to think about partnering around one of those platforms, even in the next couple of years, even prior to field trials?
Richard Eno: Yes, that's possible and we are going to look at potential partners in terms of their ability to help us accelerate those crop programs and to basically create value from those as rapidly as possible. But we are – we feel we're making good progress and yes, we are getting good traction in partner discussions.
Pamela Bassett – Cantor Fitzgerald: Okay, great. And finally, any color around the disposable pen launch in Canada from your Newell Rubbermaid?
Richard Eno: I – not that I've heard, I've heard good things about it. They are – I heard they are pleased with it, they had the pen advertised in the Olympics and we are quite pleased with the response to that. We've had a positive feedback on that. We are – not attributed to the actual units sold versus their plan, but qualitatively we heard they are quite pleased with the launch.
Pamela Bassett – Cantor Fitzgerald: Okay. Actually, I do have one more question. With respect to the C4 – C3, C4, C5 chemicals, to what extent do you think potential customers would be using those in part rather than in whole in their products? So for example, might they combine with petroleum-based products and just use a portion of these fermented products?
Richard Eno: I – my – I think the chemicals –
Pamela Bassett – Cantor Fitzgerald: And still benefit in the market?
Richard Eno: I think, Pamela, the chemicals market is very diverse, very complex. And my expectation is that the high-valued application of bio-based Industrial Chemicals would be less as a blend agent and more as a distinctive molecule, just like a pyrrolidone. Rather than blending a green pyrrolidone, which is a specialty C4 molecule with petroleum base, I think a consumer and a brand owner would feel a lot more value in saying we've got a 100% bio-based solution rather than a 37% bio-based solution because the molecular structure would be virtually identical to petroleum base, which would allow a complete troughing. So my expectation – my expectations is that the pure use of the bio-based route will create greater value than as a blend agent for a number of the specialty chemicals we are talking about.
Pamela Bassett – Cantor Fitzgerald: Okay. So there is no market perception alteration just being able to lay your product as a green product because some percentage of the chemical is derived from a bio-based operation?
Richard Eno: Well, quite often – I don't think to add to it is the – if a product, say, a consumer product has got a label on it and there are some programs, namely USDA BioPreferred Program, which is –
Pamela Bassett – Cantor Fitzgerald: No, it does those things –
Richard Eno: Yes, exactly. That program would indicate some form of bio-content and if you think, let's say, a hairspray or something that contains pyrrolidones, the pyrrolidone molecule in that would just be a portion of other things within it. So it's going to vary widely, but my expectation is that the blended chemical intermediate would make more sense sold as whole – rather, it would make more sense sold as a whole bio-based product rather than blended. And then the – where the product goes downstream, the brand owner would make the – would determine how to get the most value out of a bio-based branded product like they are trying to utilize in the BioPreferred Program.
Pamela Bassett – Cantor Fitzgerald: Okay, that’s great. Thanks very much.
Richard Eno: Thank you.
Operator: You have a follow-up question from Laurence Alexander.
Laurence Alexander – Jefferies: Hi, there. Just three very quick ones. First, Olly, I was going through my notes and I realized I never asked – I was always under the impression your fermentation process was a pure process, but is it a pure process or do you do a mixed-culture process?
Oliver Peoples: It's a pure process.
Laurence Alexander – Jefferies: Okay. Also with respect to the Safe Chemicals Act that was proposed just this last week, is there – have you had a chance to see whether there is any direct or indirect implications for demand for your product?
Oliver Peoples: No, we've not. We have some folks looking at it, Laurence, but no conclusions yet.
Laurence Alexander – Jefferies: And finally, just if you can bear with a hypothetical, if – say, on the road, once you had expanded to Clinton site, have you decided to go into a low-cost region, either cost advantage in terms of construction cost or cost advantage in terms of feedstock cost and produce a lower-quality PHA material? Your – is it fair to say that your bugs, if I can put it that way, your fermentation process should have a cost advantage than any other similar technologies that might be out there, do you think at that point is a bit lost earlier?
Oliver Peoples: No, this technology was built to be deployable anywhere in the world, but the decision to deploy it in other geographies would depend on our ability to protect the intellectual property and not get robbed, for example, China or Brazil or somewhere else. So basically, we built this technology so it will be advantage anywhere in the world based on materials that would be useful as feedstock anywhere in the world. So this could be deployed in pretty much anywhere.
Richard Eno: Yes. And I don't think that certainly for the Telles business we would look at producing a lower-quality PHA to try to bring that into the same customer channel where we are defining a very high-quality premium that could – would dilute the value of the brand.
Laurence Alexander – Jefferies: Right. But I guess I'm just thinking more – I mean, just to help on clarify the distinctions here, if you think about traditional polymers, the degradations within the polypropylene chain or other types that when you – I think just to be clear as the choice, not limitation when you are not – you are not force them to the prospects that you are producing?
Richard Eno: Right, we have – we have considerable choice about how we choose to market and the type products and so on, but right now, it's got a pretty good idea of what the market wants in terms of PHA products right now across a wide range of applications and where that's the tech – that's the marketing strategy we are pursuing right now.
Laurence Alexander – Jefferies: Thank you.
Richard Eno: Okay, thanks, Laurence.
Operator: And we have a follow-up from Ian Horowitz.
Ian Horowitz – Rafferty Capital Markets: Hi, a quick question, guys. You said that the injection-molding, you expect approval in the second quarter and I guess I'm just trying to figure out when we – when should we start seeing stuff like the utensils out into the marketplace once you got approval in the second quarter?
Richard Eno: Yes, it's hard to predict on a customer-by-customer basis, but one of our objectives is to have resin going into those markets this year. So we hope to do it sooner, but we anticipate being able to sell into food contact market this year. So you should be able to hopefully see it this year.
Ian Horowitz – Rafferty Capital Markets: What was your experience, like with Paper Mate or with Target or some other instances when you were delivering resins and so when the product was actually out on the shelf?
Richard Eno: I think those were a little bit longer, but you got to remember, at that time, the technology was very developmental and it was early stage. But we've come – continue – we've come a long way and continue to accelerate it. So we – I would suggest you stick to the nine-to-15 month duration for product development. That is a pretty good proxy, there will be times it's shorter and there will be time that it's longer, but that gives you a sense of when you could see some things in the market. And granted, we are working, we have a number of prospects already in that pipeline. So we are hoping to see product in food contact market, so hopefully injection-molding this year.
Ian Horowitz – Rafferty Capital Markets: So your spend – you are spending resin to injection-molding opportunities before the approval? Obviously, they are not going to get out into the market, but your customers are already getting comfortable with the product even though it hasn't been approved yet, correct?
Richard Eno: Absolutely. And some different brand owners have different approaches to that. But in the scale-up process, we are working with potential food contact customers to run large-volume injection-molding trials to ensure that the injection-molding operations are as – are highly efficient and as we mentioned in our last call, there are some customers who are doing some organoleptic testing with and tasting. So there is things going on and brand owners and customers who we are working with recognize we are in the process, have talked to us about that, and they are comfortable learning about the product and scaling it prior to that approval. But obviously, would not be found in the market till that occurs and we don't have control over everything that the FDA does. So we tend to try to be a little bit more conservative about that. But we are clearly working with customers on those applications.
Ian Horowitz – Rafferty Capital Markets: Right. And one of your other customer wins recently was – well, not recently anymore, I guess, it was Ball Horticultural and would – can you give us kind of an update on where that product is in terms of – I mean, are we seeing that out in the market quite yet or will that be out for this – ?
Richard Eno: I know they have test-marketed it and I'm speaking to our commercial team just very recently, very active ongoing discussions with Ball about taking advantage of the Clinton production and startup to sharpen entry plans. So active discussions ongoing, Ian, I know they have test-marketed some of the products and I don't have – and I don't know of anyone in our organization that have specific details around what they are planning for a strategic launch more broadly of the product. But I can assure you there are active discussions going on with Ball.
Ian Horowitz – Rafferty Capital Markets: Okay. So the current products that we can see from Mirel right now in the market should be the Paper Mate pen in Canada, as well as the gift cards in Target. So am I missing anything?
Richard Eno: Not Target gift cards, but the Paper Mate pen is going to be the one that clearly has the greatest recognition in the market. But all of our customers – if you work in a laboratory, you may very well see the Labcon Pipet Trays. If you are in the world of composting, you are probably familiar with some of the products produced by Heritage, and if you are in water treatment, you are probably aware of the Bioverse sphere, but from the broad consumer basis, the pen is the most high profile one out there, yes.
Ian Horowitz – Rafferty Capital Markets: So the gift cards are not being produced from Mirel anymore?
Richard Eno: Not right now. We are talking with them based on the scale-up of the plant. Their product launch was successful and with our pilot facility of limited volume, we couldn’t meet their needs, but that again is in active discussion.
Ian Horowitz – Rafferty Capital Markets: Okay, great. Thank you.
Richard Eno: Thank you.
Operator: And at this time, we have no further questions. I'd like to turn the call back over to management for any closing or final comments.
Richard Eno: Good. Thank you very much and I'd like to thank all of you for attending the call today. As you can tell, we are very pleased with the progress. We continue to make very steady progress across all of our platforms and have a lot of enthusiasm about the long-term potential for each. We anticipate much more progress over the coming quarters and we look forward to keeping you informed of that progress. Thanks again for joining us and looking forward to keeping you up-to-date. Good-bye.